Operator: Hello, and welcome to the Vita Coco Company's First Quarter 2024 Earnings Conference Call. My name is Stephen. I'll be coordinating your call today. Following prepared remarks, we will open the call to your questions with instructions to be given at that time. I'd now like to hand the call over to John Mills with ICR. 
John Mills: Thank you, and welcome to the Vita Coco Company First Quarter 2024 Earnings Results Conference Call. Today's call is being recorded. With us are Mr. Mike Kirban, Executive Chairman, Martin Roper, Chief Executive Officer; and Corey Baker, Chief Financial Officer. By now, everyone should have access to the Company's fourth quarter earnings release issued earlier today. This information is available on the Investor Relations section of The Vita Coco Company's website at investors.thevitacococompany.com. Also on the website, there is an accompanying presentation of our commercial and financial performance results.
 Certain comments made on this call, including forward-looking statements, which are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and beliefs concerning future events and are subject to several risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Please refer to today's press release and other filings with the SEC for a more detailed discussion of the risk factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today.
 Also, during the call, we will use some non-GAAP financial measures as we describe the business performance. The SEC filings as well as the earnings press release and supplementary earnings presentation provide reconciliations of the non-GAAP financial measures to the most directly comparable GAAP measures and are available on the website as well.
 And with that, it is my pleasure to turn the call over to Mike Kirban, our Co-Founder and Executive Chairman. 
Michael Kirban: Thanks, John, and good morning, everyone. Thank you for joining us today to discuss our first quarter 2024 financial results and our commercial plans and improved performance expectations for 2024. I want to start by taking all of our colleagues across the globe for our continued incredible performance and for their commitment to the Vita Coco Company and to our mission of creating ethical, sustainable better-for-you beverages that uplift our communities and do right by our planet. 
 Our first quarter results reflect that our strategies are working and that our customer relationships are as strong as ever. Our priorities of driving growth in the coconut order category and initiatives to grow our share of the category are visible in the healthy retail scans in our major markets. In the first quarter, according to Circana, the Vita Coco brand grew 9% in the U.S. and in the U.K., the Vita Coco brand grew 16%. 
 In addition to strong branded retail growth, we're experiencing strong growth in private label coconut water volume, which validates our strategy in private label and allows us to play in the value space as well as our dominant position in premium coconut water. 
 Our first quarter net sales were in line with our expectations with the gap of branded shipments to scans due to the timing of promotions and cycling of opportunistic promotional activity in 2023, which Martin will comment more fully. 
 Our priorities for 2024 remain the same as those we communicated in our year-end results. We aim for our coconut water business to grow volume in line with the category growth of mid- to high single digits with the continuing transition out of a key private label oil relationship providing a headwind, offsetting expected strong coconut water growth. Our commercial initiatives around Vita Coco Multipacks, Vita Coco farmers Organic and Vita Coco Juice continued to perform very well as seen in U.S. Circana scans that we highlighted in our investor deck, which was posted to our Investor Relations website today.
 We have also invested in growing our core business in away-from-home, which is an underpenetrated channel for us. We've recently assembled a larger, more experienced food service team, which we hope will allow us to deliver greater penetration in this channel. I'm excited about the progress we're making in new areas to grow our business over the long term. We recently launched Power Lift in the New York City area and are happy to see it in our local bodegas and to be able to sample and promote it in our home market. This is back to my roots of hustling the streets, and I'm reminded of not only how hard it is, but how fun it is, and how successful we have been historically with this approach. 
 Our New York team is certainly having fun building this brand, the old fashion way. We also very recently launched Vita Coco Treats, a delicious and refreshing beverage that is a further exploration of where our brand can go. The launch is initially exclusive to Target, and although it is too early to tell what velocity will be, we're very excited with the early scan results. While these 2 initiatives are not expected to be material to our 2024 results, the results to date give us confidence that our innovation approach should help us meet our long-term growth algorithm for branded net sales of mid-teens percentages, building on the long-term health of the coconut water category. 
 Our international business remains healthy with strong performance in Europe, led by the U.K., offset by weaker shipments in Asia as in-market inventory levels were drawn down. We intend to increase our investment in Europe, particularly Germany and Benelux regions to gain share of the category there and to help expand the category growth, which is still in its early stages of development. On top of the strong business performance, we just released our third impact report, which we believe does a terrific job of laying out where we are and what we are focused on from the sustainability and social impact perspective. I'm really happy that we are maintaining our momentum and with the creation of the Vita Coco Community Foundation announced last week, we will be able to solicit support from our customers and suppliers to potentially further our efforts in these areas. 
 20 years after launching Vita Coco, Coconut Water remains one of the fastest-growing beverage categories, both in the U.S. and the U.K., and Vita Coco is the #1 brand. We are well positioned to lead and grow the category in these markets and to grow our share further through a combination of branded and private label growth, in addition to the opportunities that we see in less developed markets that have populations that match our consumer profile.
 I believe that we are in a stronger position than we've ever been to accelerate our growth. And now I'll turn the call over to our Chief Executive Officer, Martin Roper. 
Martin Roper: Thanks, Mike, and good morning, everyone. We are very pleased with our strong start to 2024. We achieved net sales growth of 2% in the first quarter of 2024, driven by both Vita Coco coconut water and private label coconut water growth. This growth was achieved on top of the first quarter in Vita Coco Coconut Water sales growth, up 17% reported in 2023, which benefited from some opportunistic brand promotional amounts. Importantly, the net sales results were in line with our expectations when we laid out our full year guidance. 
 Our first quarter gross margins were exceptional, benefiting from lower transportation costs and branded pricing effects where promotional cadence was reduced relative to prior years. Gross margins also benefited from the decline in the importance of the private label oil business, which traditionally operated on significantly lower margins. 
 As expected, our net sales performance was hampered slightly as increased transit times for Ocean lanes going around Africa, delayed product arrivals, and servicing systems strong private label coconut water demand ahead of retailer forecast has been challenging. Both these effects have resulted in lower than optimum inventory levels and less than profit service lanes. We are working to rebuild our inventory in market to more normal levels. But given the length of our supply chain, this will not occur until later this year. 
 The strong private label coconut water demand that we are seeing is, we believe, partially driven by the slightly larger price gaps to branded than at this time last year and by consumers shifting to channels with a higher penetration of private label coconut water availability. 
 From a cost side, our finished goods are in line with expectations, but we have seen elevated ocean freight rates ahead of 2023 levels, mainly due to the diversion of shipping away from the Gulf. These costs started in ocean shipments early this year but appear to have already peaked and now be in slow decline. The rates we are seeing today remain within the underlying assumptions provided in our guidance. 
 Our current approach to Ocean Freight is to negotiate spot rates monthly on most routes with limited commitments to longer-term contracts where we need to guarantee capacity on certain lanes. We are prepared to enter into longer-term ocean freight agreements if we see competitive offers. We have entered into new supply contracts and extensions of existing contracts to support our growing capacity needs and our plans for 2025 and are in discussions on potential additional supply as we remain positive about the long-term growth that is in front of us. With that, I will turn the call over to Corey Baker, our Chief Financial Officer. 
Corey Baker: Thanks, Martin, and good morning, everyone. I will now provide you with some additional details on the first quarter 2024 financial results. I will then discuss the drivers of our improved outlook for the 2024 full fiscal year. 
 For the first quarter of 2024, net sales increased $2 million or 2% year-over-year to $112 million, driven by Vita Coco Coconut Water growth of 1% and net sales and private label growth of 6%. 
 On a segment basis, within the Americas, Vita Coco Coconut Water increased net sales by 1% to $70 million, while private label decreased 3% to $24 million as we have started to see the impact of the transition of private label oil. 
 Vita Coco Coconut Water saw a negative 3% volume decline, offset by 4% net price/mix benefit, while private label increased 4% in volume, which was partially offset by price mix changes driving year-to-date net sales decline of 3%. Our American Vita Coco coconut water scan trends remain very healthy, and we believe our shipments in the quarter reflect the absence of some promotional activity in untracked channels relative to 2023 same time period, a decrease in DSD inventory levels during the quarter and timing of shipments to key retailers. 
 For the first quarter 2024, our International segment net sales were up 20%, with Vita Coco coconut water growth of 1%, where strong growth in Europe was partially offset by volume softness in Asia. 
 Private label revenue grew 93%, which continues to benefit from new business gains at large European retailers. On a quarterly basis, consolidated gross profit was $47 million, up $14 million versus the prior year period. On a percentage basis, gross margins were very strong 42% in the quarter, an improvement of approximately 1,200 basis points over the 31% reported in Q1 2023. 
 These increases resulted from branded pricing, mix effects within private label products and decreased global transportation costs. 
 Moving on to operating expenses. First quarter 2024 SG&A costs increased 5% to $28 million, primarily reflecting increased people expenses. Net income attributable to shareholders for the first quarter 2024 was $14 million or $0.24 per diluted share compared to $7 million or $0.12 per diluted share for the prior year. Net income for the quarter benefited from increased gross profit, partially offset by increased SG&A costs, a lower year-on-year impact from unrealized FX derivatives and higher year-on-year tax expense. 
 Our effective tax rate for the first quarter 2024 was 21%, which was flat to the prior year. First quarter 2024 adjusted EBITDA, our non-GAAP measure, which is defined and reconciled in our press release, was $21 million or 19% of net sales, up from $9 million or 8.2% of net sales in 2023. The increase was primarily due to the gross profit improvements previously discussed. 
 Turning to our balance sheet and cash flow. As of March 31, 2024, we had total cash on hand of $123 million and no debt under our revolving credit facility compared to $133 million of cash and no debt as of December 31, 2023. The decrease in the cash position was due to the net increase of working capital of $20 million and the purchase of treasury shares of $10 million, partially offset by strong net income. 
 Working capital was driven by an $8 million increase in accounts receivable as well as a $4 million decrease in accounts payable and accrued expenses, both are due to the seasonality of customer and vendor payments. Inventory increased by $6 million as the inventory delays, Martin discussed earlier have resulted in higher inventory in transit to our markets. 
 Based on our year-to-date performance and our confidence in the health of the category and our Vita Coco brand, we are raising our full year guidance. We now expect net sales between $500 million and $510 million, with expected gross margin for the full year of 37% to 39%, delivering adjusted EBITDA of $76 million to $82 million. The guidance reflects our current best assumptions of the marketplace and our global supply chain costs. 
 While we are confident in the underlying strength of our business, we are providing a wider range on EBITDA to reflect some uncertainty on the transportation cost side. We will actively manage our promotional activity to balance our product supply and our pricing, which will allow us to deliver the gross margin guidance while absorbing higher ocean freight costs, which will begin impacting our P&L in Q2. 
 We expect disciplined SG&A spending throughout 2024 with full year SG&A flat to slightly increasing year-on-year. We may adjust our SG&A spending if we see improvements in Ocean Freight quicker than expected or if we see productive investment opportunities to strengthen the business for the long term. We anticipate our cash balance will remain healthy through the year, allowing us to fund any potential M&A opportunities that emerge, support further share buyback activity and continue to invest in our business for long-term growth. And with that, I'd like to turn the call back to Martin for his closing remarks. 
Martin Roper: Thank you, Corey. To close, I'd like to reiterate our confidence in the long-term potential of the Vita Coco company, our ability to build a better beverage platform and the strength of our Vita Coco brand. We are confident in our ability to navigate the current environment and excited about our key initiatives to drive growth. We have strong brands and a solid balance sheet, and we are well positioned to compete domestically and internationally. Thank you for joining us today and thank you for your interest in the Vita Coco Company. That concludes our first quarter prepared remarks, and we will now take your questions. 
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Bonnie Herzog of Goldman Sachs. 
Bonnie Herzog: I had a question on your guidance. You just highlighted some tiny impacts in the quarter on your Vita Coco the coconut water. So I guess I wanted to first understand if all of these impacts should unwind in Q2. And then for your full year guidance, what does that imply for Vita Coco water? I think you mentioned you're growing in line with the category or hopefully above. So does your guidance imply high single-digit growth for your branded coconut water for the year? 
Martin Roper: Yes, Bonnie, great question. Yes, I think we expect the category to grow high single digits, and we would suddenly hope that the brand would match category growth very closely. First quarter, there are difficult comparisons to last year on branded shipments and sales, and those largely relate to some promotional activity last year that was opportunistic. We had inventory retailers had space, and we took it, and that did not reoccur this year. And then a little bit just related to timing of shipments to -- where we're in a retailer direct shipment environment to there and then also a little bit to, we believe DSD inventory in the U.S. probably was flat to down during the quarter where it typically would build. So a couple of difficult comparisons and that sort of explains in our view, the shipment growth number on branded versus the scan growth, which remains very healthy. 
Bonnie Herzog: Right. So again just to clarify, so that sounds good. So then are you already starting to see that improve, nowhere, I guess, a month into Q2. So you're feeling good about the full year and kind of starting to see shipments more or less match what you're seeing in the scanner data moving forward. 
Martin Roper: Yes. What I would say is in how we've described the update of our guidance, it's based on our year-to-date knowledge. 
Bonnie Herzog: Okay. All right. And then just maybe a second question from me on gross margins. Obviously, very strong in Q1. And of course, you mentioned Q2 is expected to be dragged by some of the recent increases in ocean freight, et cetera. So curious if you could maybe just provide a little bit more color in terms of the magnitude of the headwind? I mean I'm just trying to think about Q2 in the context of maybe even last year, should we assume gross margins in the second quarter? Will they be below last year's gross margin? Or is it just kind of a step back from the really high margins you saw in Q1? 
Martin Roper: Yes. Bonnie, it's -- again, it's hard to call quarter-to-quarter. We updated the full year guidance on what we expect Q1 was abnormally high with the combination of low ocean freight, no impact yet higher branded pricing. So we will see that start to step back in the quarter with the highest ocean freight in the quarter. But the kind of detail quarter-to-quarter is harder to call. Then we land in that range for the full year of 37% to 39%. 
Bonnie Herzog: Right... 
Operator: One moment for our next question. next question comes from the line of Christian Junquera of Bank of America. 
Christian Junquera: Christian on for Brian. U.S. retail sales, for the retail sales for the coconut water category are up 9%, which is very strong. Any details on like what are you guys doing to support this type of growth, increased advertisements? Is it benefiting from all the work you've put into the category already, like introducing multipacks? Or are you guys sourcing share from other hydration options? Just any color you could provide would be helpful. 
Michael Kirban: Yes. I think we've spoken about before, we source from multiple categories, right? And that continues as we source from juice. We source from sport drinks, and we source from enhanced waters pretty equally. That continues. We see that continuing and demand is there. We've talked about the fact that coconut water is really mainstreaming and becoming a mainstream category, and we think that, that is playing out, and that's what we're seeing happening as the category continues to grow and coconut water continues to be the fastest-growing category in beverage aisle right now. 
Martin Roper: Yes. I would also add, I think we're seeing a healthy category in most of the major markets that we play in. So the U.K. is growing. We see growth happening from a smaller base in other countries in Europe. So there's certainly, from our perspective, something going on globally in coconut water in mature economies. So that's going on. Obviously, our goal is to gain share and to accelerate that growth, and that's how we invest our money. We're very focused on driving new trial, education of consumers and new occasions to sort of both increase household penetration and also increased by rate. And I think all of those efforts sort of show up in our household data as the results that we want or showing up there, right, increased household increase consumption rates. So we're just going to keep driving that. And hopefully, that maintains this great momentum. 
Operator: One moment for our next question -- our next question comes from the line of Jim Salera of Stephens. 
James Salera: I wanted to first ask about some of the flex on marketing because I think if I think about the biggest driver of incremental sales, it probably has to come from increased communication of use occasions. And it sounds like the extended shipping times and the lower inventory levels, maybe limits what you guys can do on the incremental ad spend. Should we think about getting inventories refilled first before you can turn up the volume a little bit more on advertising? 
Michael Kirban: Yes. Demand is there. And right now, it's about building inventory. 
Martin Roper: Yes, Jim, as we think about the full year, like we're going to modulate both on price and promotional cadence, certainly, maybe a little bit of marketing spend on channels which directly generate demand, right, like maybe the e-commerce channels and stuff like that, based on what inventory we have available either promoting items that we have in stock or pulling back a little bit, but that is certainly something we're monitoring. And our expectation is that our supply sort of constraints or ease sort of towards the middle end of the year, but this is something we're watching costly. 
James Salera: Okay. Great. And then if I can ask you a question on private label. You guys mentioned you see some consumer shift into retail formats that have more private label coke on water. Do you have a sense if those are existing coconut water consumers that are just buying private label in a format with your private label? Or are they shopping in a value concept, but they're actually new to the private label category as a whole in that when economic conditions normalize, that might be an opportunity to get a trade up from private label into branded? 
Martin Roper: I think our belief is that those sorts of channels where you're typically buying a multipack tend to lend themselves to consumers who are already familiar with the category because it's a multipack purchase, we certainly believe that you can trade consumers up from private label to branded. And we look at that as an opportunity, and we think that we monitor the price gaps carefully. Long term, we just think it's indicative of the health of the category. Private label in our shipments is sort of helped by both our inventory position relative to other suppliers and the addition of new accounts, particularly on the international side that are generating very strong growth. We certainly recognize that private label volume growth is ahead of branded growth, partially because it's operating at slightly lower price points than this time last year, but it's very healthy. And we just view it as part of a very healthy category and are very happy we're playing in both sides of it. 
Michael Kirban: Yes. I was just going to add some consumers are coming into the category. So the category is increasing households and the brand is increasing households. They're coming through multiple channels, but it's the underlying health of the category that's supporting the growth of both branded and private label. 
James Salera: I appreciate it. I'll hop back in the queue. 
Operator: One moment for our next question. The next question comes from the line of Trevor Sar of William Blair. 
Jon Andersen: Trevor on here for Jon Andersen. My question was just on the multipack rollout. I wanted to hear maybe some context from you guys of performance so far, whether that's been meeting expectations. We're seeing some good trends in the Circana measured channel data, but I wanted to kind of hear from you guys how the multipack rollout has been? And any distribution gains to come to this year and next regarded to that? 
Martin Roper: Yes. I think we're very happy with the progress of the multipacks and the impact both on our business and our share, given that we're one of the few brands that offers multipacks in food and mass. And we've seen obviously very good wins. Those wins at the size of those wins as sort of laid out in the investor deck. I think it's fair to say that we hope for more distribution this year, some of the retail sectors are a little delayed. So it's a little unclear when that's going to get delivered, but we're optimistic that the velocity of those items and the profitability of those items for retailers justify closing the ACV gaps that we have on those items relative to our singles. So we're going to keep hammering away at that. We've obviously presented that. We do expect some wins as the resets happen. It's just too early to know exactly when those are going to get completed. 
Operator: One moment for our next question -- our next question comes from the line of Eric Serotta of Morgan Stanley. 
Eric Serotta: I want to circle back on multi I want to circle back on multipacks. A quick question here. The absolute contribution in the quarter for your slides was a little bit less than the run rate last year. Wondering were multipacks in particular or as part of the broader picture impacted by some of the promotional timing and inventory issues that you spoke about. And then on the private label side, you've spoken in the past about private label as being a door opener for your branded business. We're probably coming on a year now of pretty robust private label growth. And just wondering what you're seeing in terms of if private label is in fact helping unlock some branded customers? 
Martin Roper: Yes. on the sort of multipack question, I think we're happy with the trends and the contribution of multipack to our business. We certainly have some sort of supply challenges on a couple of the multipack that is probably limiting retail execution. We alluded to, I think, on the call that we moved the major distribution -- distributor incentive out of Q1 to later in the year. And so that would reduce the retail execution and promotional activity that might help the scan numbers. So I think when you look at the scan numbers, and we're not worried any shape or form. It's a function of all of these things, and it's reflective of a very healthy category, and we think a very healthy brand. And as Corey mentioned, all the household numbers that we have showed good year-on-year trends. 
 As it relates to private label, when we talk about our private label business is very healthy. We've gained -- the accounts we've gained that have opened doors for us and mostly in the European markets, and we are basically making good progress with our brand in those markets, too. And so I think in our remarks, we talked about Germany being an exciting opportunity beyond just the U.K. I think each of these markets is at different stages of coconut water development. And so the U.K. is potentially ahead of where Germany, France and Spain are. But we're -- but the private label business for us in Mainland Europe is opening some doors and the branded sales trends that we're seeing as we sort of have an opportunity to participate in those markets are encouraging. So I think our long-term goal in those markets is to build the #1 premium coconut water in those markets from, frankly, almost nothing and grow the category to the same penetration as the U.K. or the U.S., which would mean that Europe could be as large as North America. That's the long-term goal. 
Eric Serotta: Great. And then just a quick follow-up. In terms of that distributor incentives that moved from first quarter to later this year, should we expect that in the second quarter or the third quarter? And in terms of any color you could give us in terms of order of magnitude in terms of the impact on your sales growth and whatever quarter that's going to fall in, really, it's incorporated into your guidance that would help us in terms of quarterly cadence. 
Martin Roper: Yes. So I think it's currently planned for Q3, but it's subject to move based on supply chain inventory demand and product availability and all those types of factors. -- really hard to quantify what the impact might have been. And so a little uncomfortable doing that. It was a program with our largest distributor. So it wasn't a national program, but it was our largest distributor, which covers a significant part of our DSD business. And again, very hard to quantify the exact impact. 
Operator: Next question comes from the line of Michael Lavery of Piper Sandler. 
Michael Lavery: Just wanted to follow up on the juice cans. That at least in convenience, the ACV build has been a little bit slower than we might have expected. Can you just give a sense of what some of the challenges are there? And is there a way for it to break through? Or what should we expect kind of looking ahead a little bit? 
Martin Roper: So I think as we've said before, building distribution and convenience is a long, slow, hard game. We launched nationally last year, and we made really good progress. I think what you then have is some of that distribution doesn't stick for reasons that maybe it wasn't quality distribution or whatever. You get a little bit of churn. The fact that it's still growing, I think, is a positive to us, certainly impacted a little bit by the distributor incentives that I previously mentioned because we didn't have a big push. But the actual scan data is very, very healthy. Juice cans up 34% in the quarter. So the velocity is starting to build, and that gives us a lot of confidence. And obviously, we're going to keep pushing. So -- but it's going to be a long, slow build. And that's how we think about... 
Michael Lavery: No, that's helpful color. And just one more back on multipacks. We see the breakdown on Slide 9, which is really helpful of just kind of what drove growth. But some of that, obviously, in this quarter had some promo shifts or different things might have impacted it. Can you just give a sense from a incrementality perspective, the consumer behavior on multipacks, it seems like it's driving more occasions? Is it that simple? How does the consumer interact and you've got the base business, obviously holding up? But where do multipacks go from here in terms of the sustainability of the kind of growth that it's been doing? 
Martin Roper: Yes. I think obviously, it's a larger purchase. And so therefore, it sits within the more sort of high-volume coconut water consumers. And it's provided them with a better shopping experience plus value opportunity, right, because there is a slight discount. When we launched them, the discount was much bigger than it is today. So we've been able to close that and still maintain these velocities. We think it helps us in growing the category and having more coconut water in people's homes because there's less chances of being out. So it's all good. I think we've talked about before that it's probably a 2-year plan to close all the distribution gaps with some of the delayed resets maybe that's now going to be 3 years, so maybe a little slower than we anticipated, but we'll see how that goes this summer. But we feel very good. And our read on it from a supply planning perspective is we need to expand our ability to produce them. And so we're working hard on that. 
Michael Kirban: Over time, there will be new multipacks coming into the system also, different formats, different flavors, these type of things. So that will continue to build. And one other thing on behavior, we believe that is bringing more product into the home, which is bringing more users in each home for the many different occasions that we continue to educate consumers on for using coconut. 
Operator: One moment for our next question. Next question comes from the line of Gregory Porter of Evercore ISI. 
Gregory Porter: I was wondering if you could maybe just provide a bit more color on the private label price gaps kind of versus your branded products and how you've seen that change of something you talked a bit about earlier on the call. But just was wondering if you could provide more color on the quantum there and how you plan to respond, if at all? 
Martin Roper: Sure. I think what we've said historically is that private label pricing tends to track COGS costs, right? And so it swings as the cost move and there's a lag on that. And so I think when we look at where we are today, current private label to branded price gap seems to us to be appropriate and pretty much mirror where they were pre-COVID. And so we think we're back to a more normalized sort of price gap situation. You may remember during COVID, we did not move the branded pricing that much, but the private label COGS would have moved quite a bit. And so we think we're back to normal. We're stuck to see that we're still lapping a period last year and the gaps were a little tighter. And so probably end of Q2, Q3 will start to lap where we're normalizing in the year-on-year comparison for the same -- we think some of the growth of private label is that, but some of it is also a channel shifting. And then some of it is the fact that we've gained accounts, right? So it's a combination of all things. And in total, we expect long-term private label and branded to grow at pretty similar rates. 
Operator: As a reminder, [Operator Instructions] our next question comes from the line of Eric Des Lauriers of Craig-Hallum Capital Group. 
Eric Des Lauriers: First for me, First for me on ocean freight. Could you comment on your mix of spot versus futures contracts for shipments here? And then maybe how you expect that to evolve for the rest of the year? And then just kind of related, I think last call, you talked about sort of increasing the supply that's coming from Brazil. Obviously, that's kind of a longer-term initiative with Brazil, obviously, being where ocean freights are least expensive for you guys to the U.S. Could you just provide some commentary on how that process is going? Maybe quantify that impact for us? That would be great. 
Martin Roper: Sure. On the Ocean freight side, our position as it relates to sort of coverage on contract on ocean freight remains pretty much what it was last time we spoke to you. We have not entered into what we would regard as long-term ocean freight contracts, which we would typically think about at 12 months. We continue to operate on what we spot. But as we talked about last time, does not necessarily reflect what you're seeing on the index is, we're basically in a situation where month by month, we are communicating with carriers to say, "Hey, we have 200 containers to go from A to B, what's your price, and we're bidding them off against each other. And that is resulting in rates that are below what are recorded spots and that we think are competitive. 
 We have entered into shorter-term arrangements on certain lanes where we need to guarantee capacity and particularly guarantee that the ships stop at the port. So we need them to. But those are typically 2 to 3 months commitments on specific lanes. So at this point in time, we remain very under-contracted on a forward-going basis. And the reason for that is that when we've asked for sort of long-term proposals to us, those proposals look unreasonable as to what we think the overall -- the pricing is likely to be over the next 12 months given the excess capacity that exists in the shipping ocean business and given the consumer demand for those containers, we still believe we're in an overcapacity situation and that we are better operating as we are then committing to long-term contracts that are being proposed at higher rates than we're currently paying. 
Michael Kirban: And then as it relates to increasing supply from Brazil or anywhere, our objective currently is to -- as we see growth continuing well into the future is to increase our supply in all of our regions. You might see that we announced a couple of deals in the Philippines over the last several weeks to expand supply there, and we're looking at new supply partnerships in other places also as we continue to expand supply and prepare to keep up with the continued demand. 
Eric Des Lauriers: Okay. That's helpful. And then just last question for me on sort of innovation and new use occasions. So you mentioned the sort of exclusive new drink at Target. I guess just first on that, I mean, is this something that you expect to remain exclusive with Target? Might this expand to other retailers or channels? Should we see something similar to this partnership with Target elsewhere? And then just kind of touching on the usage occasion of coconut water. As an alcohol mixture, obviously, last year, there was the partnership with Diageo and a few, I guess, featured cocktails at some summer events. Can you comment on plans for this year of sort of continuing to educate the consumer on the coconut water use occasion as an alcohol mixer? And maybe any specific comments on the Diageo partnership would be great. 
Michael Kirban: Yes. So treats Vita Coco treats, we're really excited about the initial results, but it's early in its initial results. What we're doing there is looking at a new occasion for consumers, which is using basically a coconut milk beverage as kind of a mid-afternoon treat type of thing. Initial results scans at Target are great. probably better than we might have expected going in. And so we're excited about looking at it and continuing to expand it over the course of the year and into next year. 
 As it relates to Vita Coco as a cocktail mixer, that's something we've been working on now for going on 2 years. It's become a significant part of our communications, our consumer communications. And it's working, and we're putting -- we spoke about the fact that we're building out a bigger food service team. And part of that is making sure that as bars and restaurants and clubs, start putting cocktails on the menu, which we're seeing happening everywhere Vita Coco is the choice and is through the right distribution systems to be able to get there and the primary coconut water that's used for that occasion. So it is an important occasion and a growing occasion we believe, for consumers. 
Operator: One moment for our next question. Next question comes from the line of Eric Serotta of Morgan Stanley. 
Eric Serotta: Just a quick follow-up. In terms of the top line guidance increase, was that attributable just to private label or branded or both? Any color on that would be helpful. 
Martin Roper: It's both, Eric. It's just us taking a look at the underlying health of the business, the year-to-date performance and trying to give you guys the best information we can and where we expect the year to land. 
Operator: All right. Thank you. I am showing no further questions at this time. I would now like to turn it back to Martin Roper for closing remarks. 
Martin Roper: Thanks, Stephen. I'd like to thank you all for joining our Q1 earnings call, and we look forward to talking to you when we report our Q2 earnings. Thanks very much. Thanks... 
Operator: Thank you for your participation in today's conference. This does conclude the program, and you may now disconnect.